Operator: Greetings and welcome to the W.W. Grainger, Inc. Fourth Quarter 2025 Earnings Conference Call and Webcast. At this time, participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. Now my pleasure to introduce your host, Kyle Bland, Vice President, Investor Relations. Kyle, please go ahead. 
Kyle: Good morning. Welcome to Grainger's Fourth Quarter and Full Year 2025 Earnings Call. With me are Donald G. Macpherson, Chairman and CEO, and Deidra Cheeks Merriwether, Senior Vice President and CFO. As a reminder, some of our comments today may include forward-looking statements that are subject to various risks and uncertainties. Additional information regarding factors that could cause actual results to differ materially is included in the company's most recent Form 8-Ks and other periodic reports filed with the SEC. This morning's call includes non-GAAP financial measures, which reflect certain adjustments in previous periods as noted in the presentation. There were no adjusting items in the fourth quarter 2025 period. We have also included organic revenue adjustments in the presentation, normalized sales growth reflect our exit from the U.K. Market, including the Cromwell divestiture, and the closure of Zoro UK. Definitions and full reconciliations of our non-GAAP financial measures with their corresponding GAAP measures are found in the tables at the end of this presentation and in our earnings release, both of which are available on our IR website. We will also share results related to MonotaRO. Remember that MonotaRO is a public company and follows Japanese GAAP, which differs from U.S. GAAP, and is reported in our results one month in arrears. As a result, the numbers discussed will differ from MonotaRO's public statements. Now, I'll turn it over to DG.
Donald G. Macpherson: Thanks, Kyle. Good morning, everyone, and thank you for joining. Despite the macroeconomic uncertainty and challenging environment in 2025, the Grainger team continued to execute against our strategy, delivering exceptional service and a best-in-class experience for our customers. During 2025, we made strong progress. We leveraged our technology capabilities and MRO know-how to strengthen our competitive advantage in each segment. We streamlined our portfolio by exiting the U.K. Market, invested in new supply chain capacity to extend our service leadership. We did the greater edge each day to foster a workplace environment where team members can build a rewarding career. And we delivered on our financial commitments for the year. Overall, this progress positions us well as we move into 2026. Before I dive into these 2025 accomplishments in more detail, I thought it would be helpful to reiterate our go-to-market strategy and how each of our operating models addresses the needs of MRO customers. Providing a flawless experience and delivering tangible value. This context is important as it drives most of the incremental investment we are making across the business and prioritizes the work our team does every day. Over the last several years, we have invested heavily to build market-leading data and technology capabilities. This includes core product and customer information assets, which have taken on even greater importance as AI accelerates and creates new opportunities to unlock additional value. These data assets underpin our five strategic growth engines and fuel our ability to gain share within our high-touch solutions segment. In 2025, we made great progress across these five areas. In merchandising, we have consistently gained share through this important initiative by building a highly curated product assortment. This includes continued work across our category review process and expanded use of the Grainger brand name within our private label offer. Our category reviews focus on improving product search, organization, and content, and have more recently had an increasing emphasis on new product introductions, including expansion into new categories. Recent examples include efforts to build out a relevant offer to support data center customers, as well as an expanded breadth of factory automation products such as sensors, machine controls, and actuators. In total, our merchandising efforts in 2025 resulted in net assortment growth of over 85,000 SKUs, our largest net SKU growth for the high-touch segment in nearly a decade. In marketing, the team remains focused on delivering strong returns while also finding ways to improve program effectiveness to deliver better outcomes for the dollars we are spending. During 2025, we found new and creative ways to further leverage our advantaged information assets to increase personalization and improve our marketing investment strategy. On the latter, we are leveraging our know-how and machine learning to optimize investment at the SKU level based on our knowledge of relative pricing, product availability, and customer lifetime value. The success we continue to see across this space supports further incremental investment in 2026 and beyond. Moving to our seller coverage initiative, we continue to leverage our improved customer data to expand our force with a focus on underserved business locations. After slowing our pace and adjusting our approach with this initiative in 2023 and 2024, we added around 110 new sellers across two geographies in 2025. This brings our total program expansion to over 300 sellers across six geographies since 2022, more than a 10% increase in our U.S.-based sales team. The collective performance to date of these geographies has been in line with expectations, and we plan to address two more regions in 2026. Our sellers are crucial to providing value for our customers and generating demand, and we remain committed to investing in tools and resources to increase their effectiveness. In 2025, we saw strong usage of our new SellerInsights platform. As you may recall, this platform integrates with existing Grainger data sources to provide sellers with a one-stop-shop customer insights. In 2026, we will leverage AI in this platform to deliver actionable insights, identify new customer contacts, and strengthen leader coaching opportunities. We are just scratching the surface of our potential in this area, and we are excited about the path ahead. Lastly, we continue to see increased demand for value-added services as labor scarcity and cost savings initiatives become customer imperatives. In KeepStock specifically, this has resulted in new customer installations and product category expansions, driving further embeddedness and deeper share of wallet. Additionally, the KeepStock team made progress over the past year further developing customer-facing tools, and we anticipate a broader rollout of these new capabilities to begin in 2026. These tools provide customers access to enhanced data and insights, aimed at improving their user experience and driving procurement cost savings. While it is already a critical part of our offer, we expect KeepStock to become even more valuable going forward. We are excited about the progress we have made across these five strategic growth engines and remain confident in our ability to drive share gain as we execute against these important initiatives. Now, given the critical role that technology is playing in our space, I thought it would be helpful to provide a few use cases of how we are leveraging AI and machine learning across the business. While the ramp curves differ by initiatives, as these efforts mature, they can help increase productivity, enhance service, and create revenue opportunities over time. We have broad experience deploying AI and machine learning, and when underpinned by our differentiated data assets, we can create tremendous value. I have already touched on how machine learning is optimizing our marketing investment strategy and how AI is helping us improve seller effectiveness. On the slide, you can see several other areas of the business where these new technologies are fueling advancements. The point here is to show how prevalent these powerful tools have become and to highlight how we can leverage our data assets to create solutions that add real value to our customers and to our bottom line. We have learned a great deal in the past two years about AI and feel well-positioned to accelerate these efforts moving forward. Moving to the Endless Assortment segment, we made great progress propelling both businesses forward in 2025. At Zoro, the team has regained its growth momentum, focusing on driving improved repeat purchase rates through an enhanced customer experience. Our progress during the year included optimizing the assortment to improve delivery times, launching Zoro-branded private label products, improving the quality of customer acquisitions to enable better repeat rates, enhancing direct marketing capabilities through better analytics, and improving the customer experience through more accurate delivery communication. These actions helped reaccelerate sales growth back into the high teens for the full year. At MonotaRO, the team continues to execute well, driving strong results, including 25% growth of enterprise customers. They continue to improve and expand the distribution capabilities by extending the reach of same-day shipping regions beyond Tokyo and Osaka, while also planning for the future with the groundbreaking of the new Mito DC, outside Tokyo. Similar to High Touch, we have also progressed our AI and ML capabilities across both EA businesses. It is still early innings, but we are using these technologies to drive productivity and accelerate our momentum across the flywheel, and we have included a few examples on this slide. All told, we delivered great results across the endless assortment segment in 2025 and are positioned well to continue this momentum into the new year. Turning to Slide nine, I am very pleased with the continued progress we are making across our distribution network as we stay focused on extending our industry-leading ability to deliver next-day complete orders to customers across both segments. Notably, we made meaningful progress on three new facilities across the U.S. and Japan. The Northwest DC, which is located outside of Portland, is set to start full outbound operations later this year. This building will improve our service and reduce transportation costs throughout the Northwest. We also continue to make great progress with our Houston distribution center and expect inbound operations to begin in 2027, with outbound following a few quarters later. In Japan, MonotaRO is making great progress on their new highly automated DC in Mido, scheduled to open in 2028. This facility, when complete, will nearly double the shipping capacity that MonotaRO has in the country. Outside of new capacity investments, the supply chain team has also worked hard to leverage inventory and transportation solutions to improve service in certain markets, including Florida and Canada. Overall, we continue to invest across our supply chain to ensure that we maintain and extend our leading position in customer fulfillment. The heart of our organization remains our people, who work hard every day to fulfill our purpose to keep the world working. As you can see on Slide 10, our culture was again recognized externally during 2025. We were recertified as a great place to work in the U.S., Canada, and Mexico, affirming our commitment to being an employer of choice and a place where every team member feels valued and empowered. We were honored for the first time as one of the world's most ethical companies, named once again as one of Fortune's most admired companies, and recognized by Glassdoor as the best place to work. These recognitions are a testament to the culture we have built over almost a century in this industry. Grainger will always be a place where every team member can have a fulfilling and meaningful career if they are willing to work hard and serve our customers. Now turning to our full-year financials. 2025 certainly had its share of challenges between shifting tariff dynamics, soft MRO market demand, and the government shutdown. Despite these challenging macro headwinds, we still delivered total company sales growth of 4.5% on a reported basis and 4.9% on a daily organic constant currency basis, with total sales finishing the year at $79.9 billion. Growth for the year included continued share gain from our High Touch Solutions U.S. Business, which finished the year with roughly 250 basis points of outgrowth on a volume basis. The endless assortment segment showed significant top-line improvement with daily organic constant currency sales up 15.6%. Both Zoro and MonotaRO continue to win with their core B2B customer base and drive improved repeat purchase rates, positioning them well for the future. Alongside the solid top line, the team also did a nice job managing strong margins despite LIFO headwinds, with operating margin finishing at 15% for the year. We delivered adjusted EPS growth of 1.3% to $39.48 per share, ROIC finished at 39.1%, and operating cash flow was $2 billion, which allowed us to return $1.5 billion to Grainger shareholders through dividends and share repurchases. Overall, I am proud of what we accomplished in 2025. We continue to focus on improving in core areas of the business to perform well over the long term. With that, I will turn it over to Dee to review our fourth-quarter results.
Deidra Cheeks Merriwether: Thanks, DG. I want to echo DG's sentiment on our 2025 performance. Not only did we make progress on a number of strategic initiatives, but the team was also able to drive top and bottom-line results within the original 2025 outlook we provided a year ago. A strong outcome despite the challenging macro environment we faced. Now turning to our fourth-quarter results. We had another solid quarter to finish the year with results roughly in line with expectations. For the total company, daily sales grew 4.5% or 4.6% on a daily organic constant currency basis, which included growth in both segments. Sales were healthy in the period despite softness during the start of the quarter from the government shutdown and the lapping of a prior-year hurricane-related sales benefit. If you were to normalize these events, sales for the total company would have been up approximately 6.5% for the quarter on a daily organic constant currency basis. Total company gross margins for the quarter were strong, ending at 39.5%, down about 10 basis points over the prior-year period, driven by segment mix headwinds from faster-growing endless assortment. Operating margins were down 70 basis points year over year due to increased SG&A expense, which came in higher than expected in the period due to unforeseen healthcare costs above our normal run rate and a softer top line in the high-tech solutions segment. Overall, we delivered diluted EPS for the quarter of $9.44, which was down 2.8% versus 2024, but above the midpoint of our implied fourth-quarter guide. Moving to segment level results. The High Touch Solutions segment delivered sales growth of 2.2% on a reported basis or 2.1% on a daily constant currency basis. Results included nearly three points of price inflation for this segment, showing meaningful sequential improvement as tariff costs continue to be passed. From an end-market perspective, our indicators suggest the MRO market gained momentum sequentially but remained muted in the period. For Grainger specifically, we saw strong performance with contract and manufacturing customers, which helped to offset slower growth in other areas of the business, including year-over-year softness in the government end market. If you were to normalize government sales for the impact of the shutdown and the prior-year hurricane-related sales benefit, sales for the high-touch segment would have been up roughly 4.5% for the quarter on a daily constant currency basis. On profitability, gross margin finished the quarter at 42.3%, flat versus the prior year. We continue to see tariff-related inflation, which caused further LIFO inventory valuation headwinds, although the magnitude of these charges came in favorable to our expectations. These charges were offset by positive mix and a number of other smaller tailwinds. Price cost on a LIFO basis remains negative but improved in the quarter as our pricing actions took hold. Similar to last quarter, if we excluded the LIFO headwind and we wanted to compare ourselves to our peer set, which report on LIFO, our implied FIFO gross margin rate would have increased year over year with price cost roughly neutral on this basis. On SG&A, margins delivered in the period as payroll and higher-than-expected healthcare costs, along with continued marketing investment, were only partially offset by productivity. We also saw a softer top line in the period due to the impact of the government shutdown, which further weighed on margins. Taking all this together, operating margin for the segment finished at 15.8%, down 120 basis points versus the prior-year quarter. Before moving on, I want to share a brief update on where we are with tariffs. In the fourth quarter, we remained engaged in active dialogue with our supplier partners and took modest price increases in November to help offset continued cost pressure. These actions were on top of the price increases in May and September when we began to pass through tariff-related costs. In January, we passed further price in response to previously delayed tariff inflation and to offset annually negotiated cost increases with our suppliers, which were largely in effect as of February 1. These actions are net of a partial rollback on certain Chinese tariffs announced at the end of last year. As we look ahead, we have passed the majority of known tariff-related costs to date, but the situation still remains fluid. Importantly, our team is staying agile, and we remain confident in our ability to adhere to our core tenets to reach price cost neutrality over time while maintaining competitive pricing.
Donald G. Macpherson: Turning to Slide 16. U.S. Business. We wanted to share an update on our volume outgrowth for the High Touch Solutions segment. When we last spoke about outgrowth in detail, it was during the first quarter of 2025 as we observed a meaningful inflection in the underlying single-factor benchmark that we use to measure MRO market volume. This inflection was misaligned with what we were seeing on the ground with our MRO customers and likely caused by shifting macroeconomic dynamics and bifurcation across industries. These dynamics are driving where tariffs are impacting demand in some industries while others are experiencing a tailwind, notably those tied to aircraft manufacturing and data center build-out. As we have been discussing over the past few years, we built a separate market model back in late 2023 after a sustained period of dislocation between what we were hearing from customers and what the single-factor model was implying about market volume growth. This multifactor model was developed after testing over 1,000 publicly available economic indicators to find the best combination of explanatory factors with a high correlation to underlying U.S. Economic census data for MRO products. Specifically, the model pulls in several different supply and demand factors, including net core capital goods shipments, import-export dynamics, and end-user activity to formulate a comprehensive view of the MRO landscape. When comparing the two model inputs side by side, while neither model mirrors the exact weight of Grainger's customer end markets, the multifactor model does capture a broader base of end-market activities outside of manufacturing while also eliminating non-MRO product categories. Further, the multifactor model captures a more dynamic view of the economy, relevant trade flows, and shows a stronger correlation to underlying MRO product consumption data. And while the inner workings of the multifactor model are less accessible externally, and no model is perfect, the comprehensive nature of the model would suggest it more accurately reflects the performance of our market, specifically in periods of economic disruption or change. With this context in mind, if you turn to Slide 17, we have charted the historical results for both models, starting with the point at which economic inputs were first published for the multifactor model. As you can see, the two models are highly correlated, and over this twenty-plus year period, the average annual growth rate is nearly identical. However, the models do experience disconnects during periods of macroeconomic shifts. Typically, when the multifactor model trails a single-factor model or vice versa, it eventually catches up, but the duration of these dislocations is unpredictable. As you see, we have experienced a prolonged period of dislocation since the pandemic, including each model moving in opposite directions after new tariffs were enacted in early 2025. It is unclear to us how long this diversion will last. With this, given its comprehensive nature and the fact that we have studied each model exhaustively over the last couple of years, we are more confident in the demand signals from the multifactor model. And we will use it to measure our outgrowth progress going forward. On this basis, turning to Slide 18 and using our multifactor MRO model, we estimate that Grainger finished full year 2025 with roughly 250 basis points of outgrowth on a volume basis as our High-tech Solutions U.S. Business grew volume by 1.4% compared to our multifactor MRO model, which was down between 1.5% and 0.5% for the year. Albeit short of our 400 to 500 basis points long-term target, we are continuing to take healthy share. Marketing and merchandising remain our largest contributors to outgrowth, and on a go-forward basis, we are anticipating a more consistent impact from seller coverage and seller effectiveness as new geographies ramp and seller tools mature. Overall, we remain confident in our strategic growth engines and their ability to drive share over the long term and continue to target 400 to 500 basis points of average annual outgrowth over time. Now focusing on the endless assortment segment. Sales increased 14.3% on a reported basis or 15.7% on a daily organic constant currency basis, which normalizes for the FX headwinds realized in the period and the closure of our Zoro UK business. Zoro U.S. was up 16%, while MonotaRO achieved 18.4% growth in local days and local constant currency. At a business level, Zoro continues its momentum, driving strong growth from its core B2B customers along with improving customer retention rates. At MonotaRO, sales remained strong with continued growth from enterprise customers, coupled with solid acquisition and repeat purchase rates with small and midsized businesses. Additionally, MonotaRO experienced increased web traffic stemming from a competitor's cyber outage, which provided a tailwind to sales in the period. On profitability, operating margins increased by 200 basis points to 10.6% with favorability across the segment. MonotaRO margins remained strong at 13.6%, up 100 basis points, and Zoro margin improved to 6.3%, up 260 basis points, with both businesses benefiting from gross margin flow-through and healthy top-line leverage. Overall, we are proud of the exceptional performance throughout 2025 within the endless assortment segment and look to continue the momentum this year. Moving into our outlook for 2026. At the total company level, we expect revenue to be between $18.7 billion and $19.1 billion, driven by growth in both segments. This translates to daily organic constant currency sales between 6.5% and 9%, which is 230 basis points higher than reported sales growth at the midpoint, after adjusting for FX headwinds and the impact of our exit from the U.K. Market. Within our High Touch Solutions segment, we expect daily constant currency sales growth between 5% and 7.5%. In the U.S., we anticipate continued demand pressure as tariff-related price increases weigh on market volumes. And while we expect industry-specific tailwinds in certain areas of the economy will persist, many of these green shoots are outside of core MRO product categories. With this, while we acknowledge falling interest rates and other macro factors could reverse the multiyear volume contraction in our industry, we are conservatively modeling the market to be down 1.5% to flat. On share gain, we are assuming outgrowth improves through the year as we ramp investment and gain traction with our growth drivers. We expect this will deliver outgrowth at or below our long-term target range in 2026. Lastly, we expect meaningful price contribution to revenue, which includes the wrap of 2025 actions and incremental price this year to fully catch up on the costs we are seeing from suppliers. This price contribution factors into the partial rollback on certain Chinese tariffs announced in November, which excludes any impact from future unknown tariffs or rollbacks that may or may not occur in 2026. In the endless assortment segment, we anticipate daily organic constant currency sales to grow between 12.5% and 15%, in the range of their long-term framework. This segment-level growth will be roughly 230 basis points lower on a reported basis when you normalize for the expected foreign currency exchange headwinds and the closure of our Zoro UK business. At the business unit level, Zoro is anticipated to grow in the low teens as they continue their momentum in driving higher repeat rates, consistent service, and improved mid-funnel marketing. MonotaRO is also expected to grow in the low teens in local days and local currency, which normalizes for one less Japanese selling day in 2026 and expected FX headwinds from the yen. This strong performance is fueled by growth with new and enterprise customers, strong repeat rates with core B2B customers, and a carryover benefit from the competitor cyber outage. Moving to our margin expectations. We expect total company operating margins to range between 15.4% and 15.9%, up 40 to 90 basis points compared to 2025. This reflects improvements in both segments as well as a 45 basis points tailwind from our exit of the U.K. Market, split roughly evenly between gross margin and SG&A leverage. In the High Touch Solutions segment, we expect operating margins between 16.9% and 17.4%, up 35 basis points at the midpoint. Gross margin will improve as price cost normalizes and LIFO inventory valuation headwinds subside in the back half of the year. This favorability is partially offset by a modest headwind from our private label portfolio, where tariff dynamics have changed competitiveness on certain SKUs. We expect SG&A leverage to improve as the accelerating top line and our productivity efforts offset ramping investment across our demand generators. In endless assortment, we anticipate operating margin will continue to ramp between 10% to 10.5%, up 20 to 70 basis points versus 2025. Gross margins are expected to be down slightly at the midpoint, and we expect continued healthy operating leverage improvement in both businesses. Our closure of Zoro UK is also positively contributing to segment-level operating margin. Turning now to capital allocation. Our business is positioned to generate strong cash flow in 2026, with expected operating cash of approximately $2.1 billion to $2.3 billion, reflecting conversion of around 100%. Our capital allocation priorities remain consistent and largely unchanged from prior years. We will continue to invest in the business with CapEx in the range of $550 million to $650 million, supporting supply chain initiatives, construction of new facilities in the U.S. and Japan, and ongoing technology and data investments. We will pursue selective inorganic opportunities while maintaining strategic and price discipline, and beyond investment, we expect to return excess cash to shareholders through dividends and share repurchases. We will formally set the 2026 dividend in the second quarter but again anticipate high single to low double-digit annual increases. Share repurchases related to Grainger common stock are expected to be around $1 billion for the year. Overall, our return-focused philosophy gives us flexibility to invest efficiently while delivering strong returns for our shareholders over the long term. In summary, at the total company level, we plan to grow the top line by 4.2% to 6.7% on a reported basis or 6.5% to 9% on a daily organic constant currency basis, which normalizes for FX headwinds and our exit of the U.K. market. You can see margin improvement through the P&L, which reflects the previously mentioned tailwinds from the U.K. exit, gross margin recovery, and healthy leverage in both segments. These margin benefits will be partially offset by continued segment mix headwinds as endless assortment grows faster than high touch. We are expecting the effective tax rate in 2026 to be roughly 25%, about 130 basis points unfavorable versus the prior year adjusted rate, mainly due to the impact of recent federal tax law changes and the lack of one-time tax planning initiatives that will not recur in 2026. Taking all this together, including our share repurchase outlook, we expect EPS of $42.25 to $44.75 per share, up over 10% at the midpoint. From a seasonality perspective, we expect year-over-year sales growth to be relatively consistent as we move throughout the year on a daily organic constant currency basis. Gross margin will deviate from its normal seasonality given LIFO and price cost dynamics as we comp over tariff headwinds in the prior year and reflect the impact of this year's annual Grainger Show meeting. With this, first-half gross margins will be at or slightly below our annual guide before rebounding in the back half of the year as the tariff-related impacts subside. Operating margin will follow a similar trajectory, where the first half is at or below our full-year guide before rebounding in the back half of the year. The first quarter is off to a strong start with preliminary January sales of over 10% on a daily organic constant currency basis. This start supports our expectation for the first quarter sales of around $4.5 billion to $4.6 billion, up north of 7.5% on a daily organic constant currency basis or roughly 200 basis points lower on a reported basis. First-quarter gross margins will remain healthy but decline sequentially versus 2025. This differs from our normal seasonal pattern as we continue to face tariff-related pressures and reflect the impact from the Grainger sales meeting, which flips to a gross margin headwind in 2026. This gross margin pressure will be offset by sequential leverage improvement, and we anticipate first-quarter operating margins will be just north of 15% for the total company. Lastly, as I have consistently done at the end of the past few years, I have included our long-term earnings framework for reference. The only change from the last time I shared this framework is a modest change to our go-forward tax rate assumption to reflect new federal legislation. Importantly, all the core operating tenets of this framework remain intact. We are well-positioned to deliver great results for our shareholders for years to come. With that, I'll turn it back to DG for some closing remarks.
Donald G. Macpherson: Thanks, Dee. Before I open it up for questions, I want to acknowledge our nearly 25,000 Grainger team members who consistently demonstrate our principles and drive strong performance for Grainger. Every day they show up, start with a customer, and compete with urgency to deliver on our purpose and create an exceptional experience. Looking ahead, I'm excited about how 2026 is shaping up and confident in our ability to extend our advantage for the long term. Regardless of the environment, we will continue to provide a best-in-class MRO offer while investing in the core of our business, an industry-leading distribution network, and innovative technology capabilities. By staying focused on what matters most to our customers and creating a great workplace for our team members, we are poised to deliver continued growth, share gain, and strong returns for our stakeholders. With that, I will open it up for Q&A.
Operator: Thank you. We will now be conducting a question and answer session. Our first question today is coming from David Manthey from Baird. Your line is now live.
David Manthey: Hey, good morning, everyone. My first question is a statement really, 10% growth daily organic constant currency in January looks pretty good. As we're looking at Slide 21 and thinking about your guidance for the high-touch business, it looks like share gain similar to 2025. Pricing is a key delta there at up about 300 basis points. But you also have market growth at minus 1.5% to flat, which is the same backdrop you had in 2025. And given other industry participants and what you're seeing in January, could you just talk about what drives your cautiousness for the year overall?
Donald G. Macpherson: Yeah. So thanks for the question. So, you know, as we plan, we always start planning relatively conservatively. There's no advantage in planning for growth that we haven't seen yet. What I would say about January, certainly, it was strong across the board. We did get a bit of a tailwind from the competitive outage in Japan that adds a little bit to that total as well. As Dee described, we're pretty confident in sort of that 7.5 number for the year. So we feel like maybe a little bit better start than we expected, and we may be wrong on the market, but that's always a variable that we have.
David Manthey: Yes, sounds good. And then I wonder if you could give us an update on digital channels. A few years ago, you told us KeepStock was 16%, Website 30%, and 25% of order origination. Don't know if you have those offhand or we could take one.
Donald G. Macpherson: Yeah. Sure. So, what I would say is everything direct connection to customers has become more of our share. So, actually, eDiePRO is the biggest share we have at this point. Closer to 40 at this point. GCOM is still a big part of that, and then KeepStocks growing a little bit as well as a percentage of the total. So the vast majority of our contract customers now have a combination of ePro and KeepStock on-site. And so that's a big part of what we do in terms of creating stickiness and creating value for our customers.
David Manthey: Alright. Thanks, DG.
Operator: Thank you. The next question today is coming from Jacob Levinson from Melius Research. Your line is now live.
Jacob Levinson: Hi, good morning everyone.
Deidra Cheeks Merriwether: Good morning.
Jacob Levinson: Maybe just thinking about David's question a little bit of a different way, DG, if you talk to your customers, your large customers, can you just give us a sense of what the tone of those conversations have been like? Because it certainly feels like we've seen some sort of cyclical inflection this quarter. Obviously, ISM, for example, I'm just trying to get a sense of when you talk to the CEOs, your peers, what the tone of those conversations are like, particularly if we're talking, you know, more of the rate-sensitive end markets, not necessarily aerospace or data center.
Donald G. Macpherson: Yeah. I think the tone hasn't changed too much. There's no I'd say there's no panic, but there's not really enormous tailwinds that people are seeing from a volume perspective. I think everybody is seeing price, which obviously helps with the revenue numbers. But generally, you know, it's very, very industry-specific at this point. So you can run the gamut from very, very high optimism to fairly strong pessimism as well. Overall, I think the mood is okay, but not expecting huge, huge market growth.
Jacob Levinson: Okay. That's helpful. And on the medium customer front, it seems like there's been quite an acceleration there the last couple of quarters, and I'm not sure if that's a structural change in how you're approaching those customers or maybe there's some price in there, but maybe you could speak to what's really driving that?
Donald G. Macpherson: Yeah. I mean, it's a little bit of acceleration. There were some comps that we had that make it look a little bit favorable. We certainly are focused on growing with midsized customers, and a lot of things we do in merchandising help those efforts. So, it's good to see a little bit of traction, but it's not a huge inflection point, although we expect to continue to grow midsize faster than the rest.
Jacob Levinson: Fair enough. Thank you, DG. I'll pass it on.
Operator: Thank you. Next question is coming from Ryan Merkel from William Blair. Your line is now live.
Ryan Merkel: Hey, everyone. Thanks for the question. I wanted to start with gross margins. I guess a two-part question. First, gross margins in 4Q were a little bit better than we were thinking. Where did the upside come from there? And then you put a finer point on first-quarter gross margins? I think you said down sequentially just what was the reason? Thank you.
Deidra Cheeks Merriwether: Yes. Hi. The main headwind that we received in the quarter was really related to LIFO. So we had kind of laid out, you know, that LIFO would be a little bit more negative than what it actually came in, you know, still increase what softer than that. So that helped us out from a gross margin perspective. And then as we continue to talk about, we did continue to take price. So price helped offset that a little bit in the quarter. So those were the two largest things that impacted Q4 from a gross margin perspective.
Ryan Merkel: And then in Q1, we do expect some of those LIFO costs to shift into Q1 as well.
Deidra Cheeks Merriwether: Correct.
Ryan Merkel: Okay. So it's really LIFO, which is why gross margins are down sequentially into 1Q?
Deidra Cheeks Merriwether: Yes. Yes. Okay. Alright. Yes. The other piece in the first quarter is related to it. You heard in prepared remarks we discussed the Grainger sales meeting. And so anytime we have customers attend the Grainger sales meeting, which is every other year, then our supplier rebates due to our accounting methodologies allow us to offset a portion of those rebates in SG&A. So therefore, it becomes a headwind on GM. And so that's gonna happen in 2026 as well.
Donald G. Macpherson: So it's a headwind to GP and a positive to SG&A again.
Deidra Cheeks Merriwether: Net net neutral operating margin.
Ryan Merkel: Okay. That's great. Thanks for that. And then for the '26 margin guide, it doesn't look like there's a lot of organic margin lift ex Cromwell. For example, at the bottom end of the guide, I think margins are flat. So what are some of the key factors in the margin guide? And think you said gross margins for the year are going to be flat to down.
Deidra Cheeks Merriwether: Yes. If you look at it year over year, 25% to 26 don't forget, EA is going to continue to grow faster than high touch, and that's a headwind for us. Of about 10 basis points. You as you noted, The UK market exit is gonna be a tailwind for us. And then when you look at high touch, there's a lot of puts and takes there. We talked a little bit about, you know, Grainger sales meeting, price cost, and the LIFO tailwind that we will get mostly in the second half. Gonna contribute about 20 basis points. So when you add all that together, that's a 30 basis point difference between where we ended in 2025 to where we believe we will end in 2026.
Operator: Thank you. Our next question is coming from Christopher Glynn from Oppenheimer. Your line is now live.
Christopher Glynn: Thanks. Good morning, everyone. Just in terms of the continued outgrowth for HTS, obviously, it's been resilient in some very varied macro environments. But I'm just curious what you think is really behind the differential in the current trend line versus the long-term expectation?
Donald G. Macpherson: Yeah. I think that, you know, I would point you to a couple of things. Certainly, some factors were out of our control. We have more exposure to government. The government shutdown hurt the share gain in this year. But we also, if you remember, paused some more seller ads a couple of years ago when they weren't we weren't seeing the performance we needed to see and adjusted, and now we are seeing the performance, so we've reaccelerated that. But that's had an impact over the last couple of years as well. I would say that we're seeing good things in that front. Seeing good things at seller effectiveness. We're seeing good things in on-site performance with KeepStock. We also, along with marketing and merchandising, we're pretty bullish around net contracts that we've been seeing recently. So that's a positive force as well. So we think all that's gonna get us, get that improvement that we wanna see.
Christopher Glynn: Great. And then on the comment on seeing improved endless assortment, repeat rates. Just wondering if you could double click on that.
Donald G. Macpherson: Yes. I mean, the business has been super focused on getting consistent purchases from core business customers. They've changed a lot. I won't go into the details of some of that's probably not worth sharing other than to say, the way we're acquiring customers, what we're doing with marketing, the way we're talking about service and communicating service delivery, promise to customers. All that has helped, and they've seen significant increases in repeat rates over the last eighteen months. So it's good to see.
Christopher Glynn: Great. And just a quick cleaning. Dee, could you remind me what the January or the January guidance for organic ADS was?
Deidra Cheeks Merriwether: Seven point seven point five yes.
Christopher Glynn: Great. Thank you.
Operator: Next question today is coming from Tommy Moll from Stephens. Your line is now live.
Tommy Moll: Good morning and thank you for taking my questions.
Deidra Cheeks Merriwether: Good morning.
Tommy Moll: DG, I wanted to follow-up on your comment a second ago about the trend below your target for long-term outgrowth in recent years? Point taken, on the pause that you've communicated previously on the seller ads. But if we just look high level here, you had outperformance versus your target pretty meaningfully during the years 'twenty two and 'twenty three. So I would I'd characterize what those had in common as an external stress on the supply chain, just globally, where you had scale, your competitors lack scale, that that nets to your benefit. If we think about a lot of the other years, there's a more normalized environment where you're performing below that 400 to 500 target. Is the simplest answer here, not just that 400 to 500 is an average, but you're really gonna punch above that in times of stress in the market. And in a, quote, unquote, more normalized environment, you're probably gonna be a bit below the target.
Donald G. Macpherson: I think that, certainly, we handled that supply stress well. I would definitely agree with that. It was a smaller portion of we had 875 basis points of outgrowth two years in a row. It was a small portion of that total. So I do think that may be a general statement to make that could be true, but I don't think I do think we've averaged 540 basis points through the last five years of outgrowth, and we expect to be able to get to that 400 to 500 mark again. So I think that, you know, some of that is just our own execution and some of its external factors, as I mentioned before.
Tommy Moll: Okay. On that execution point, you mentioned for seller coverage, you're going to add I think you added two markets last year, add two more this year. If you look across the folks you're hiring, these roles, in an increasingly digital environment. Are you targeting different types of sellers than you have historically? And if you think about the average tenure of the folks you're hiring in these new geos, does it skew perhaps below the average tenure of the rest of your sales force?
Donald G. Macpherson: I'd say that the process we usually add sellers hasn't changed all that much. We're looking for general selling skills and some sort of interest in the types of product we sell and the environments we sell in. And that hasn't changed much. I think there's a broader trend here that has been an important one from our customers, which is generally a lack of mechanical talent, I'd say. It's I'm not sure that's the right word, but I'm sort of say that. There are fewer people who are mechanically inclined. And it's actually been good for us in many ways as customers have asked to do more on-site. And so that's a trend that we do see. But in terms of who we're hiring, we're still looking for a lot of the same skills we've performed in the past.
Tommy Moll: Thank you. I appreciate the insight. We'll turn it back.
Operator: Thank you. Next question is coming from Chris Dankert from Loop Capital Markets. Your line is now live.
Chris Dankert: Good morning. Thanks for taking the question. I guess like you said, we've seen some nice market share gains and some optimization of what's within Grainger's control here the past couple of years. But just looking back at the market share numbers, it looks like we're guiding for a fifth consecutive year of contraction in the market. Maybe just does it imply we're in an impaired or shrinking market? Does that imply that reshoring is a bit of a mirage? I just maybe, DG, what do you see when you see that contraction five years running? What is where do you pulling out of that?
Donald G. Macpherson: I think if you look over a thirty-year history, the reality is that manufacturing activity has been pretty stable in the U.S. It hasn't been increasing much, and employment has gone down. I think that sort of gives you a sense that long term, from a volume basis, our market has never been a fast-growing market. So that's why we have the earnings algorithm we have gain share consistently, a little bit of price, and then managing and get SG&A. That's what we have to do. I think in all industrial markets, you would see something similar, to be honest. And when you studied industrial markets in the past, it's not most of them are not fast growth markets.
Chris Dankert: Fair. Fair. I guess just shifting gears a bit to the digital investment. I know a lot of your peers look at clicks to success. Maybe just is that a metric you guys track any kind of color you can give us on improvement there? Is there a different KPI that you measure with the digital investment and the AI investment? Just any thoughts there?
Donald G. Macpherson: Well, so, are you asking about, like, online? How we measure success online?
Chris Dankert: Yeah. Just how quickly customers can kinda get to what they need digitally online. Yeah.
Donald G. Macpherson: Oh, yeah. Yeah. Yeah. So we look at a whole bunch of metrics. We track the process sort of soup to nuts as we look at it. And, certainly, conversion rate, which is, I think, what you're talking about is a big metric that we do look at. For sure. And we also do a lot of surveys to understand competitiveness, and how we do competitively on a bunch of digital sort of factors. And so I'd say we're super well measured in that space.
Chris Dankert: Got it. Thanks so much.
Operator: Thank you. Next question is coming from Stephen Volkmann from Jefferies. Your line is now live.
Stephen Volkmann: Hi, good morning. Most of mine has been answered, but I wanted to go back, Dee, to your slide around tariffs, which is helpful. But is the message that you've now priced for all the tariff increases that you've seen?
Deidra Cheeks Merriwether: So, yes. We have essentially passed through all known tariffs and are working in this quarter to also correct for some of the Chinese tariffs that were rolled back in November. So based upon our annual cost negotiations that the team went through in the back half of 2025, we feel like we're fairly caught up in passing, you know, cost onto customers at this point in time. Now anything in the future that is unknown, whether, you know, for additional tariffs or further rollbacks, we have not included any estimates of that nature in our outlook.
Stephen Volkmann: Okay. Great. And it seems like, in some of the businesses that we follow, some producers have been pretty slow to pass these price increases through. Do you think your suppliers are kind of where they need to be? Or do you think there's a good chance that we'll see additional sort of pass-throughs as the year progresses?
Donald G. Macpherson: So what I would say is suppliers had choices to make, and their choice was usually do I pass dollar amount or do I pass percentage? And so I think overall, we're somewhere between dollar and percent is what I would say. What we've seen from our suppliers. That doesn't mean necessarily that they need to add any more price. I don't think that would drive that necessarily at this point.
Stephen Volkmann: Okay. Great. Thank you, guys.
Operator: Thank you. Next question today is coming from Guy Drummond Hardwick from Barclays. Your line is now live.
Guy Drummond Hardwick: Hi, good morning.
Deidra Cheeks Merriwether: Good morning.
Guy Drummond Hardwick: I think last year, the growth in underlying operating expenses was 5%. It looks like the guidance for this year is better than that, like just on the 4%. Same particular reason for that. Was that just the benefit of the Cromwell operating expenses dropping away? And I think the OpEx ratios were worse for Cromwell than the overall group. But you also said in the prepared remarks, sorry, maybe I'll let just leave it at that and let you just mention that before I follow-up.
Donald G. Macpherson: It's a lot of Cromwell is the answer. And then there's more leverage in EA and High Touch as well, but a lot of it is Cromwell.
Guy Drummond Hardwick: Okay. And you also said in your prepared remarks that marketing and merchandising is a big driver to outgrowth. So given that you're guiding to a much greater outgrowth this year than last year, I mean, should we assume that your OpEx is factored in that higher merchandising and marketing expense for 2026?
Donald G. Macpherson: Yes. Yes. That's right. That's right.
Guy Drummond Hardwick: Okay. Got it. Thank you.
Operator: Thank you. Our next question today is coming from Chris Schneider from Morgan Stanley. Your line is now live.
Chris Schneider: Thank you. I hopped on a little late, so I apologize if this got discussed. But could you provide the level of price embedded in the '26 guide? And then specifically, how much is wrapped from the intra-year actions in '25? How much is new price? And has there been any growing pushback to price in the market from customers? Thank you.
Deidra Cheeks Merriwether: Yes. So generally, we've noted in the prepared remarks that our price into 2026 is north of three. And then if you look at all the wrap and price that and run rate price that we've discussed previously, we believe that amounts to about two and a half to three of that. All in 2026, we're north of 3% for price.
Donald G. Macpherson: And we haven't seen tremendous pushback from customers. The elasticity has been what we did generally expect at this point.
Chris Schneider: Thank you. I appreciate that. And then if I could follow-up on the earlier point that gross margin would be down sequentially into Q1. Obviously, different than normal seasonality. I'm not sure it's ever been down sequentially into Q1. I guess, you just kind of maybe help unpack some of the moving parts there? Because it seems like the price cost improved as Q4 went on following the November price action. I would have just thought that you would have a continuation of that into Q1. And I would have also thought maybe Q1 would have, you know, the full realization of the benefit from Cromwell going away. That probably not fully reflected in the Q4 gross margin. So just any color on some of the moving parts there would be helpful. Thank you.
Deidra Cheeks Merriwether: Sure. So, again, LIFO even in 2026, will continue to be a headwind because, of course, we are passing and have received new costs from customers. That does subside as the year goes on, but Q4 to Q1, that is a headwind. We talked about the Grainger sales meeting. I don't know if you were on for that. But that is a 20 basis points drag as well. This is the year where we have customers at the show, and supplier rebates that would normally remain up in gross margin go down to SG&A to offset some of the SG&A costs. So then that becomes a headwind this year, a tailwind in next year when we have no customers. And then you may have heard us talk, we haven't talked about it as much today, but our private label business with the tariff impacts and looking to remain competitive based upon where we actually manufacture those products and being able to pass on the tariff increases, mostly we have done that at rate like DG just noted. So that creates a headwind in gross margins for us. Specifically as customers are transitioning to a national brand. For some of those products. So that's also a drag. And then what you noted was, like, the normal seasonality recovery, price cost favorability, things like that. That is accounted for as a positive, but it's only about 10 basis points. So all those things together take us from 39.5 to 39.1 percent Q4 to Q3.
Chris Schneider: Thank you. I appreciate that.
Operator: Thank you. Our next question is coming from Connor Maniglia from Bernstein. Your line is now live.
Connor Maniglia: Great. Thanks for having me this morning. Just a quick one. On Slide eight, you touched on the Zoro branded private label product. You talk a little bit about the progress you've seen so far maybe just some customer feedback, repeat rates, etcetera? Then can you speak to the margin impact on the business overall?
Donald G. Macpherson: It's not material enough at this point to have any impact on the margins, but we have seen good early success in repeat rates and that core business customer that Zoro serves really likes the Zoro private brand that we've launched so far.
Operator: Thank you. We have reached the end of our question and answer session. I'd like to turn the floor back over for any further or closing comments.
Donald G. Macpherson: Great. Thanks, everyone, for joining today. Really appreciate it and thanks for the questions. You'll have many opportunities with our IR team after the meeting if we didn't get to you. I just want to reiterate the fact that we feel really good about how things are set up moving forward. We are hearing positive things from our customers. We're providing great service. And we're getting some of the growth drivers accelerated again. So look forward to having a great year and look forward to seeing you out. Thanks so much.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.